Charles Daley: Thank you operator, good morning everyone, and welcome to the Avino Silver & Gold Mines Limited year-end and fourth quarter 2015 financial results conference call. On the call today, we have the company’s President and CEO, David Wolfin; as well as our Chief Financial Officer, Malcolm Davidson; and one of our Directors, Mr. Jasman Yee. Before we get started, I’m required to remind you that certain statements on this call will include forward-looking information within the meaning of applicable securities laws. These may include statements regarding Avino’s anticipated performance in 2016 and future years, including revenue and cost forecast, silver and gold production, grades and recoveries, and the timing of expenditures required to develop new mines in mineralized zones. The company does not intend to, and does not assume any obligation to update such forward-looking statements or information other than as required by applicable law. Thank you. With that, I’ll now turn the call over to Avino’s President and CEO, Mr. David Wolfin.
David Wolfin: Thanks Charles, and welcome everybody. I’d like to thank you all for joining us here today. During this call, I will cover the highlights of this morning news release and our financial and operating performance in 2015 compared to 2014, then I'll open up the call for Q&A to address any questions you may have. I’m pleased to report that 2015 was another profitable year for Avino despite a challenging year for precious metal markets. During the year, we brought the Avino mine online after completing our expansion in late 2014, which resulted in a 116% increase in silver equivalent production. We also identified new areas for mining around the San Gonzalo mine close to our term facility agreement with Samsung and heightened the embankment dam for the tailings storage facility at Bralorne. We also acquired key pieces of mining and production equipment for operations in Mexico and Canada. Revenue for the year was 19.1 million compared to 19.3 million the prior year. Mine operating income was 8.1 million in 2015 compared to the 7.9 million in 2014. Results were consistent year-on-year due to additional silver equivalent produced and sold from the San Gonzalo mine, which was offset by lower metal prices. Both Mill Circuit 1 and 2 were used to process San Gonzalo mill feed for five months during the first half of the year and then again during September and October effectively doubling throughput during those months. Our realized sliver price decreased by 19% from $19.04 US to $15.46 per ounce sold and our realized gold price decreased by 9% from $12.56 to $11.48 per ounce sold compared to the prior year. Our earnings for the year before income taxes was 2.9 million, compared to $4.9 million in 2014. Earnings before taxes decreased as a result of lower metal prices for revenue recognized, as well as an 833,000 foreign exchange loss caused by the strengthening US dollar relative to the Canadian dollar and Mexican peso. Our current and deferred income tax expenses during the year totaled 2.5 million compared to 2.4 million in 2014. The increase is a result of us having utilized all of our available tax loss carry forwards in Mexico combined with another year of profitable mining operations. Net income for the year after taxes was 483,000 compared to 2.5 million in the previous year, resulting in earnings of $0.01 per share down from $0.08 per share in 2014. Our consolidated all-in sustaining cash cost for the year was CAD12.14 or $9.49, compared to CAD12.24 Canadian or $11.08 in 2014, a decrease of 21%. Our team has done an excellent job of controlling and managing operating costs, which is evident in our 2015 all-in sustaining cash cost figures. Our cash and cash equivalents increased by 76% from December 31st, 2014, to 7.5 million. The increase is primarily due to the proceeds from the $10 million term facility received from Samsung announced in our July 11th news release. We continue to maintain a strong balance sheet, which will keep us well positioned for expansion and new opportunities. Now, to operations, I’m pleased to report that we delivered our fourth consecutive year of production growth, thanks to the hard work of our teams in Mexico and Canada. In 2015, we produced more silver equivalents than any other year in the company's 48 year history. Silver production increased by 68% to 1,625,000 ounces. Gold production was up 37% to 7,083 ounces and copper production was up 1453% to 4.7 million pounds. As a result, silver equivalent production was up 116% to just over three million ounces. The comparative increase in overall production was due to the Avino Mine and associated Mill Circuit 3 coming online January 1st, 2015. Since reopening the Avino Mine in the second half of 2014, the company has been continuing its efforts to develop the mine, including the extension of the haulage ramp to access and extract the mineralized material included in the resource estimate prepared by Tetra Tech. As previously announced, the company has arranged for the sale of the Avino Mine material to Samsung for a period of 24 months. The material was processed into concentrate using Mill Circuit 3 and during 2015, the company recorded total proceeds of 21.5 million from the sale of Avino Mine concentrate. The proceeds generated from the sale of the Avino Mine concentrate is currently accounted for as a recovery of exploration and evaluation expenditures and will not be reported as revenue until management has made a production decision, which is expected later in 2016. The mine plan calls for 20 to 24 month of development. However, during this period, this development can take place primarily within mineralized areas. The majority of the underground mining equipment has been received. During the period, the company plans to extend the haulage decline and put in five new levels within the area included in the existing resource. At Bralorne, we completed a 32-hole 8000-meter surface diamond drill program, heightened the embankment dam for the tailings storage facility, acquired two new scoop trams from Sandvik, a new loader from Caterpillar and are waiting delivery of a new jumbo from the Sandvik. During the year, we also worked diligently to build strong relations with local First Nations community and in February of this year completed facilitating a four-month underground mining training program for members of the staff [ph] First Nations, which was largely paid for by the provincial and federal governments. We plan to resume underground activities and mill processing once permits to use the tailings storage facility have been granted by the BC Ministry of Energy and Mines. Now, let’s move on to our outlook for 2016. Management remains focused on the following key objectives; maintain and improve profitable mining operations while managing operating costs and achieving efficiencies, advance the Bralorne project towards profitable production, explore regional targets on the Avino property, followed by other properties in our portfolio. Recently we applied for permits to build a new tailing storage facility and once the permits are received and the tailings, new storage facility is built, then we want to look at progressing with the recommendations in the PEA towards our next expansion, which is looking at a heap leaching operation to process the oxide tailings left behind in the previous tailings component. Also we will continue to evaluate potential projects for new acquisitions. We would now like to move the call to the question-and-answer portion. Operator?
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Heiko Ihle of H.C. Wainwright. Please go ahead.
Heiko Ihle: Hey, guys, congratulations on the quarter.
David Wolfin: Thank you, Heiko.
Heiko Ihle: Thanks. I was going through the numbers, the actual realized sale prices that you got. And gold is right now 15% higher and silver is 6% higher. So, it got me to thinking, given those metal price developments and knowing the realized prices were just a lot below where they are in Q1, anything we should see with cash costs, I mean there are some cost pressures starting to come back or we still - should we still model out cash cost improvements? You see where I'm coming from, like I said, you're talking about 15% and 6% increases quarter-over-quarter, what does that do to actual incurred costs?
Malcolm Davidson: Heiko, its Malcolm here. Good question. We except our cash cost to be remaining fairly stable; I mean we're still reporting in Canadian dollars, so we do see some fluctuations due to foreign exchange. But just from a true cost, we expect our cost models to be very consistent with where they were in 2015.
Heiko Ihle: And what point in time should one expect increasing commodity prices and it just feels really good to see and talk about increasing commodity prices to actually have an impact on costs.
Malcolm Davidson: A pretty good question, I have to give that some thought. Thanks, Heiko. I’ve to get back to him.
Operator: Our next question is from Bhakti Pavani of Euro Pacific Capital. Please go ahead.
Bhakti Pavani: Good morning guys.
David Wolfin: Good morning.
Malcolm Davidson: Good morning.
Bhakti Pavani: Just for - regarding processing the mill feed for 2016, do you guys intend to process any mill feed from the stock piles or just going to be exclusive San Gonzalo and Avino?
David Wolfin: Yeah, just San Gonzalo and Avino.
Bhakti Pavani: Also I know you guys are holding back, taking or making decision or an announcement on commercial production of because you still see the fluctuation in the grade. Just kind of curious how do you see for 2016, I mean do you see the grade stabilizing or do you still expect some kind of fluctuations?
David Wolfin: Well as you developing on the thing that, that’s when you are learning the exact great continuity so on the upper levels that where the development has been completed we understand the grade and we have got good control on that now. We are waiting for a new jumbo from Sandvik so once we are get that this year, we can start long haul sub level caving on the upper levels which is a form of mining so. We are hoping that we get that jumbo before the middle of the year and will commence some mining operations.
Bhakti Pavani: Okay with regards to the capital expenditure. Have you guys made a decision or have you guys budgeted on how much do you intend to spend in 2016, would you mind giving some kind of color there?
David Wolfin: As far as CapEx for just in general or for Avino mine?
Bhakti Pavani: I mean for both, you know general I mean I was curious to know how much would be spent on the equipment versus exploration and evaluation?
Malcolm Davidson: Okay a good question, we do have an exploration budget in place where we are looking at ways to actually increase that budget which we are currently working on, but with respect go general CapEx we have spent and we have acquired most of the equipment that we needed. We do have some pieces coming later this year, such as another production jumbo for ET. But in general we've acquired most of the capital that we need for operations. Next big capital item will be the new tailings facility, which we plan to commence later in 2016 and probably complete in 2017, Jas?
Jasman Yee: Yes, further about yeah.
Bhakti Pavani: My last question is with regards to Bralorne mine, I know you guys are making quite a bit of improvement there, any kind of time line as to when do you expect to start processing or start mining there?
David Wolfin: Currently our target date is middle of the year. But it all depends on the permitting [ph], getting the premise to reopen and the Ministry of Mines is pretty slow right now. So, we're targeting middle of the year.
Bhakti Pavani: Oh, okay. So with regards to the permitting, is there anything that you guys need to provide from your end or it is just delays from their and.
David Wolfin: Delays from their end, we have submitted all the filing that they have requested, mine closure plans, updates, all the information they’ve requested have been submitted and they’ve apologized that they’re lean on staff, so we're in the hands of their staff waiting for them.
Bhakti Pavani: Just one more, could you please remind us when you start processing the Bralorne mine, I mean what kind of production or tones per day production we are looking at?
Jasman Yee: It’s Jasman here, Bhakti. Yeah, basically we were looking at anywhere from about 600 to 800 ounces per month or thereabouts, this is the current throughput but we are basically looking at expanding the operation this is part of our ongoing engineering work that we're currently doing. We're looking at a larger operation and serve along the mine life based on the resources that we have on site right now.
Bhakti Pavani: Okay, thank you very much guys. That’s it from my side.
David Wolfin: Thank you.
Jasman Yee: Thanks Bhakti.
Operator: The next question is from Rob [Indiscernible]. Please go ahead.
Unidentified Analyst: Hi David, I wanted to know in terms of your future growth of your resources, what can we expect to see in the next few years, if you can ball park some numbers and I know you have Bralorne and Avino property. Can you just ball park some numbers of what we could see in the next few years in terms of your -
David Wolfin: Well at Avino we're operating at two mines, you Avino and San Gonzalo, there is dozens of targets on our property. It is hard to ball park what we're going to find next door, [Indiscernible] the couple of hundred million ounces as same geological settings, so there's tremendous upside potential to Avino and so Carlos, our Chief Operating Officer will spend whatever money we want to give him, testing targets, so there's no shortage of targets there and at Bralorne the potential is fantastic. It produces 4.5 million ounces of the gold out of three mines. We consolidated the camp, we have got the gap zones in-between the mines. We have great potential and we had geologist spend some time and he said the potential is similar to what they produced in the past. So it is world class area. Does that answer your question?
Unidentified Analyst: Yeah, that answered, I just - yeah, I guess you said what you think could be there. What is your aggressiveness in exploration here?
Malcolm Davidson: It all depends on cash flow. So as the metal prices go up and there's more cash, we’ll deploy more cash in exploration but right now are focused on operations and improving our cost structures if we can and generating as much cash flows as possible.
Unidentified Analyst: Okay, that’s all I had, thank you.
David Wolfin: Okay, thank you.
Malcolm Davidson: Thanks Rob.
Operator: The next question is from Lauren Scheibe of Bard Associates. Please go ahead.
Lauren Scheibe: Good morning how are you guys.
David Wolfin: We are good Lauren.
Malcolm Davidson: Hi, Lauren.
Lauren Scheibe: Most of my questions have been answered. I just - one quick one, so do you have a number, how much you going to spend on Bralorne this year.
Malcolm Davidson: Well, as David mentioned we’re looking at different mine plans, it depends on when we can actually resume operations, but probably about 5 million.
Lauren Scheibe: 5 million, okay, good results, thank so much.
Malcolm Davidson: Thanks, Lauren.
Operator: We have a follow up question from Heiko Ihle of H.C. Wainwright. Please go ahead.
Heiko Ihle: I am not really sure what happened somehow it muted me or something. Can you walk me through, sorry - can you walk me through capital expenditure estimates for the remainder of the year, ideally little bit quarter by quarter. When should we expect to see how much?
Malcolm Davidson: Okay good question.
Heiko Ihle: You say that about all my questions, I'll take that as a complement.
David Wolfin: They are great questions.
Malcolm Davidson: The tailing in Mexico is unknown because we're still waiting for a major permit there. So I think the CapEx on the new tailings facility for Avino is about 5 million. Maybe a little bit less, but we'll probably spend I would say half of that in Q3 and Q4 and perhaps the remaining amount in the first two quarters of 2017.
David Wolfin: Well, let me just mention that we've talked to the engineering firm and they can do it in phases so we may not have to spend it all up in the beginning part.
Malcolm Davidson: Great, so, that's probably more a conservative estimate than and with Bralorne, really depends on when we complete on getting all the permits and when we can really ramp up the operation. So, I would say probably Q2 and Q3, perhaps three and four but for the first quarter it's been fairly low and as I mentioned earlier we've already acquired most of the capital equipment we need for our existing operations.
Heiko Ihle: Thank you guys very much.
Malcolm Davidson: Thanks, Heiko.
David Wolfin: Thank you.
Operator: There are no more questions at this time. I would now like to hand the call back over to Mr. David Wolfin for closing remarks.
David Wolfin: Okay. Well, thank you everybody, it’s been a pleasure and you guys are all in the call today and we look forward to another solid year, this year and let’s hope for higher metal prices. Take care.
Operator: This concludes today’s conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.